John Hamilton: Good morning, everyone and welcome to Panoro Energy's First Half 2020 Results. This is John Hamilton, Chief Executive Officer. I'm joined today by my colleagues Richard Morton, our Technical Director; Nigel McKim, our Project Director; Qazi Qadeer, our CFO. I'll be going through the presentation, but the entire team is available for any questions that you may have. Next slide please. As a reminder, today's conference call contains certain statements that are or may be deemed to be forward-looking statements which include all statements other than statements of historical fact. Forward-looking statements involve making certain assumptions based on the company's experience and perception of historical trends, current conditions, expected future developments and other factors that we believe are appropriate under the circumstances. Although, we believe the expectations reflected in these forward-looking statements are reasonable, actual events or results may differ materially from those projected or implied in such forward-looking statements due to known or unknown risks, uncertainties and other factors. And for your reference, our results announcement was released this morning in both Norwegian and English and a copy of the press release and our second quarter report are available on our website at www.panoroenergy.com. Next slide please. So we're using the webinar system here. You have the opportunity to submit questions to myself and to the other panelists by typing your questions into the questions panel on the control panel illustrated on the left side of the slide there you can see and you can type your questions in there on the left, and we will collect those questions and answer them at the end. You can also raise your hand as you can see on the on the right there to be unmuted for verbal questions here you can see it's circled on the right there is how you can ask a verbal question and try and deal with that as well. Next slide please. Here is our highlight slide. We've all been through a very challenging few months, oil companies have been particularly affected with a double hit of COVID plus the huge historical drop in oil price. Despite all these challenges, Panoro has done well and even made some noteworthy achievements we believe. First and most importantly, we continue to produce oil safely through the period. Our health and safety systems proved resilient across our assets. And we actually achieve and record quarterly production rates since 2013 despite all the turbulence. The big headline yesterday was that the operator Dussafu announced with their results, their view of the potential of the Hibiscus area in Gabon, which could be three times larger based on the remapping of that field and I will touch on this a little bit later. Financially, oil prices were low. So of course, this impacts our headlines numbers, which have been well guided to the market, we don't believe there are any surprises there. But to demonstrate the low cost nature of our business, we managed to stay both EBITDA and operational cash flow positive despite average oil prices being below $30 in the quarter. On the CapEx side, we've largely completed our adjusted program, and we actually also repaid debt of almost $3 million during the first half on all a very critical performance against a difficult backdrop. Next slide please. So just a quick look at the macro, I think we all follow this, but I think we're touching on. In recent days, things are better, they're not great yet with oil is stuck still in the mid-40s, but definitely better than where we've been. And after the brutal price crash that producers cut output on a historic scale, we can see the shape of the forward curve on the right there. It's been moving up and we're starting to see other signs in the market oil majors banks M&A deals all using oil prices in the future, which are considerably higher than the current forward curve and considerably higher than where we certainly been. So we believe the focus has shifted now from fear to the positive with gradual increases in demand, businesses restarting motorists permitted a little more freedom. We believe that the drastic capital expenditure cuts we witnessed recently will eventually result in supply shortfalls, which will further support oil prices. So we remain very, very bullish on the oil price. And the market is starting to recognize that as well. So hopefully we're in for better times and we've seen over the past few months. Next slide please. Just a quick touch on our hedging. Again, most people don't pay attention to hedging when oil is flat or it's going up, but we've seen the advantage of a sensible hedging policy. Some of our peers have also hedged, some or not, but we can see that a sensible policy makes sense. Our hedges are reference indebted Brent so we get full advantage when prices are low. We have colors around of $55. We had an additional swap in July, which we'll see benefiting in the third quarter. It's worth noting that again, gains or losses in the P&L that come through realized or unrealized gains on hedges come not in the revenue line, but further down the P&L. So you have to look a little further. And you also do get some volatility on the unrealized oil price hedges to mark-to-market value, those can go up and down and kind of distort the P&L. So it's important just to make sure that you recognize that volatility. Our mark-to-market of our remaining hedges is $5.5 billion at the end of the second quarter. And it's also worth noting that the gains that we have made on this are outside the petroleum taxation regime. So sometimes taxation regimes can be quite punitive in our sector. These hedges fall outside of any tax that may be there. Next slide please. So update on some of our assets. So I'll start with Gabon. In Gabon, we've been active since 2008. And we've been part of the all success that the block have seen since then. But why is Gabon so interesting? During the opening of the South Atlantic and the early cretaceous, a series of pre-salt basins formed along the West African Brazilian coastlines. These events created world class oil fields in Brazil, and also in West Africa. And Dussafu is one of them. We've had 14 straight successful well penetration since we started drilling in 2011. And Dussafu is the largest exploitation license ever granted in Gabon and we have the rights to produce and explore here for another 18 years and can extend beyond that even. During the quarter, we have two new well come on stream they actually came on stream in the first quarter. We have a total of four wells now on stream and the fields doing very well currently producing at about 18,000 barrels a day when those four wells. We had an oil lifting by BP in June, and we have three more expected during this second half of the year. OpEx is about $17, $18 a barrel. So it's a good low cost operating environment. Obviously, there is operating costs will go down, the more oil we start, we will produce and we will produce more in the future. Next slide please. Again, we've done this like in the past, but it's worth touching on, again, now that we've had recent news on Hibiscus, which is we have had 14 straight successes in Dussafu since we drill the first well at Panoro in 2011. That is setting the good oil fields keep getting larger and Dussafu so far is providing - is proving to be a world class asset. Again, we have the rights to produce and explore here for 18 years, the long-term nature of this asset is worth remembering the context of all the short-term volatility we've seen in the markets recently. We have no license commitments here, so we can take our time. We can choose our timing depending on when it's right for ourselves and our partners to explore here. So we have lots of time [Technical Difficulty]. Next slide please. So quick little update on Dussafu and what to expect next. We announced obviously the Tortue Phase 2 was curtailed as a result of the crisis. Two additional wells were meant to have been brought on stream, but the rig had to be demobilized following the successful drilling of the DTM-6 well. DTM-7 was going to be the final production well to be drill as part of this campaign, but that too was postponed. We anticipate that these two wells will be finalized and brought online in the first half of 2021 next year, so not too far from now. And in line with operator guidance, we should see production levels increase materially once we get those two wells on stream, we believe in excess of 20,000 barrels a day gross in total. In the middle section of the slide, we talk about Ruche Phase 1. Ruche Phase 1 was postponed as well, but less to do with COVID-19 in the state of the oil prices a multimillion hundred billion dollar project with existing reserves. Now these reserves are very economic even at low oil prices. But prudence dictated that we delay when oil prices were at 20. I think a lot of people delayed things like this. But the teams are using this period very constructively investigating possible cost savings on that development, while we wait out the oil price drop. We hope to re-sanctions this valuable project in due course. On the right side of the slide exploration, exploration wells were also cancelled during the crisis, we didn't tended to drill probably two wells prior to the rig being sent back. But these very much remain part of our strategy and hopefully we'll see these getting drilled perhaps as early as Q4 of this year or Q1 when the rig returns to finalize the Tortue Phase 2 DTM-7 well. Next slide please. So the big news yesterday and hopefully today still and hopefully for a little while is Hibiscus. It continues to be very exciting this area, and as a reminder, we drilled this discovery about a year ago, and at the time when we made the discovery, it was four to five times bigger than the pre-drill estimate. And as you may recall, we've been working on a seismic reprocessing project using modern techniques, taking the Seismic that Panaro acquired in 2013 and using all the modern techniques to get this most we can out of it and using the new wells that we build to help calibrate that. BWE, the operator came out yesterday with their mapping, and the pictures being shown here, which suggests that could be a much larger structure linking Hibiscus with Hibiscus South and Mupale, which were other prospects that we had on the inventory. Their initial estimate suggests three times larger oil and place volumes and also potential recoveries and about three times as big as the current book reserves, so in excess of 150 million barrels. Now appraisal wells will be required to prove these volumes into reserves. But Hibiscus was already a game changer in the block and now appears to potentially be much bigger. Hopefully, we can drill a well or two on Hibiscus, Hibiscus South and Mupale when the board rate comes back towards the end of this year or early next year. Next slide please. An exploration doesn't stop with Hibiscus. The map on the left shows the location of the existing fields in green including Hibiscus and the outlines the main prospects and leads in orange, yellow and brown. As you can see, we have plenty of potential left on the block we have defined 13 prospects with a total P50 gross perspective resource of another 281 million barrels. Reserve auditor, Netherland, Sewell has attributed a geological chance of success to the prospects of between 36% and 90% chance of success. We have been working on this reprocessing project, which are referred to which is going to improve the definition across the entire license. And we intend to use the result of this work to modify the portfolio and identify new prospects. Dussafu will remain an exciting exploration province and we fully intend to drill additional wells in combination with our production drilling operations over time. Next slide please. So moving on now to Tunisia. As a reminder, we entered Tunisia through two transactions in 2018. One production-led deal and the other an exploration deal. And in doing so, we were able to establish a strong position and probably the best operating area in Tunisia. We are one of the top oil producers in the country. Tunisia attracted us as we saw the theme of oil majors exiting due to the size of the assets not ranking against their larger global portfolios, private equity removing other smart operators were moving into fill the void. And we're active in Pelagian Basin [Technical Difficulty]. We have an active operational program in Tunisia, which was temporarily delayed during the COVID pandemic. And we have restarted that with a number of well work over operations. Tunisian travel restrictions are still in place. So some activities are still taking some time. But we're finding our way. And we're now in a way, which new activity which have been parked, delayed for three or four months, which I'll tell you more about now. We had the first production for second quarter was just under 4000 barrels a day consistent with our first quarter results. And this was an increase from last year, which averaged fourth quarter around 3500 to about 15% increase. And we do have plans to get to 5000 barrels a day gross underway. Operating costs in the region are very, very good less than $15 a barrel. Next slide please. Here is a slide which kind of tells the story. Before I tell you about our restarting activity and our goal to get to 5000 barrels a day. I thought I'd walk you through the context of the first half of this slide on the left shows you last year the second half of 2019. As you can see there, we are concentrating as new owners of the asset on a comprehensive review and looking for quick wins. When we achieve this, as you can see, we were able to bring production at the end of 2019, up from about 3500 barrels a day gross to over 4000. In the following months, we managed to get peaks around 4,300, 4,400, then COVID struck and we were forced to delay certain work amazingly into our credit, and our partner’s credit and our team. We've managed to keep production going through the period, which cannot be said of all of our peers and we managed to lift and sell and collect money for all of our crude sales. You can see a little drop recently. We had during - just as we're coming out of COVID, we needed to replace two pumps on two of our most productive wells, each of them doing about 500 barrels a day. So we had a drop there. We're busy bringing those back online as we speak one of them is already completed. The other one will be back online in about a week or two weeks. And that should re-establish us back to where we sort of our stay state for 2020 is around 4000 barrels a day. Next slide please. So thankfully, since June, we've been able to resume operational activities again, slowly trying to deal with COVID restrictions. It's been a challenge operationally. But we have restarted. The first priority as you can see in the top part of this slide was to restore these two wells that I told you about these routine replacing the pumps, each of these wells about 500 barrels a day. So these are important wells for us and they really did need new pumps. So we took the opportunity to replace those pumps. These have almost been completed ones already online, and the other one we're literally in the well as we speak. So we should be stabilized back at 4000 where we believe the steady state is at the moment. But more importantly, we're able to commence our new production activities. So the second half of the slide details five different things we're either in the process of doing have completed or are expected in the very short-term. On the El Ain field, the first thing there, we have completed to work over there and we've tested production rates in excess of 500 barrels a day. This production is waiting a pipeline work before we can really actually counted as production, but we basically have completed the subsurface work and these wells are ready to be produced. In Guebiba, we're working on two workovers Guebiba 4, 5, which I'll touch on a little bit more. Those two wells are ongoing in progress as we speak and collectively did in a success case bring about 700 barrels a day. And we've also now spotted the very exciting Guebiba 10 sidetrack. I’ll tell you a little bit more about that, which is the first drilling activity on these assets for five or six years now. So it's really quite exciting. And we hope that this operation will deliver new production of approximately 500 barrels a day. And we're also busy planning a workover in Cercina is our offshore field, which is well stimulation, which we're waiting some permits on, that will probably happen a little bit later into the early fourth quarter, but also looking for about 500 barrels a day. So as you can see, if we, on aggregate take that portfolio of activities, we believe on a risk basis, we should be able to during the fourth quarter to get from what we think the steady state 4000 to 5000 barrels a day. So we've put ourselves in as good a position as we can to realize that ambition to get to 5000 barrels a day and we have the activity going, we have the rigs on site, I'll show you some pictures as well. If we could go to the next slide please. Again, this is maybe not terribly exciting, but for us it was exciting, because this is the first activity we're able to properly to resume coming out of the COVID and travel restrictions. It's our offshore field Cercina. And here's a picture of the pump replacement activity that we recently executed. Again, the pump needed to be replaced on this particular well. We reestablished production at between 500 to 600 barrels a day on this well. It's a very successful operation. It was our first test case in trying to reestablish normal business. Next slide please. Yes, sorry. So this is a very exciting slide for people in Tunisia. Maybe, I'm not sure if I can convey that excitement. But this is not something we've seen for many, many years. We have 2 rigs working at the same time on the TPS assets. In this case, the Guebiba field. The lower rig is working on the 2 workovers that I talked about. So it's Guebiba #4 and #5, but that's seeking to establish production of about 700 barrels a day in total on those 2. The big rig is for the Guebiba 10 sidetrack. This is one of the preeminent rigs in the country, the CTF Rig 06. Guebiba 10 is a well that has been shut in for many, many years, and our plan has always been to try and sidetrack the original well bore and just known separate fault compartment. We are underway with that well now. We're in about 1,800 meters depth at the moment, and we hope to complete this well in October at established rates somewhere around 500 barrels a day gross. So again, very, very exciting for everybody involved in this asset to have this kind of level of activity happening in Tunisia, particularly when - in a world where very few people are doing very much about production growth of Panoro and our partners in TPS are going forward at the moment. So we're getting a lot of credit for that in the country as well. Next slide please. Now a little more technical slide here. But alongside all the intense operational activity, we've also been able to initiate some technical work. And we have to invest in time, resource to understand our fields in great detail because we need to plan for additional development activity for the future. Panoro's future is not just the 5 activities I just talked to you about. It's about long-term production at this field - of these set of fields. And to this end, we've started a work of programming, updating our subsurface mapping and remodeling. And this slide, although it's very technical, shows the work that we progressed during 2020. In fact, the project work was conducted during lockdown with staff and consultants and stacks continues in London cooperating remotely to remap the top reservoirs of the field and construct static and dynamic models. Now the punchline on this is that these are important bits of work that we need to do on each of the fields we have. We started with the Guebiba field, and these provide the basis for further reserve bookings once we define the projects here. We've always believed that there are additional reserves we booked, and this work is showing that, that is the case. We obviously need to plan that activity for them to be counted as reserves. But the work is ongoing to make sure that we have a longer-term plan on these assets, not just the short-term - not the short-term work that we've been discussing up until now. Next slide please. So some further corporate updates, South Africa and Nigeria. In South Africa, for those of you who follow us, we entered into new farm-in agreement for an exciting well in South Africa, together with Africa Energy and Azinam. The deal is subject to government consents and to the Azinam farm-in also completing. These government consents have been impacted by COVID-19. We've seen this across the board with the regulators and the ministries that we rely on each of the countries we operate in as they have slowed down. So we've had to kind of fill in the time by reworking some of subsurface working together with partners. Panoro has done all our own extensive work on this. And we're targeting an up-dip location from the discovery made in 1988 during the apartheid times. And that well discovered good quality light oil, and the plan is to drill up-dip from there. The timing of that is unclear at the moment, but we are hoping to get some clarity on the regulatory process during the course of this quarter and into next quarter. For OML 113 Aje, as announced in October last year, we had an agreement with PetroNor to sell them our Nigerian assets in exchange for $10 million of PetroNor shares. This is always thought to be a win-win solution for all parties because it allows PetroNor to bring their technical leadership to be brought to the project, where they’re working together with the operator. And PetroNor have been working hard on this - on the next phases of Aje. The sale is subject to the consent of the regulators and the ministries of Nigeria approving this, and the process is underway. Again, it had been impacted over the summer due to COVID. But our intention at closing is to distribute these PetroNor shares to our shareholders as a dividend. And now for the final slide, please. So this is the summary slide. In times of crisis, it's easy to forget what makes an interesting equity story. I think along with our peers, we are sort of putting out fires and worrying about business and production and liftings and partners and all these things during the summer. So you kind of lose sight of what makes the interesting equity story. But share prices were down, and they would only go up or down depending on what happened with the oil price. And to some extent, we're still a little bit in that environment. But we're starting to find the first foothold of normality, we think, in the sector. And we, as Panoro, we believe we're very well positioned. We have a solid balance sheet. We have good, low-cost production assets. We believe we have a good strategy of good Board supporting us. And in the near term, we can look forward to production increases in both Gabon and Tunisia, as I laid out. We have the dividend thing of the PetroNor shares to the shareholders, which we can look forward to. On the exploration front over the next 12 months, we have likely wells in Hibiscus area, in Gabon. We have Salloum in Tunisia, which has also been slightly delayed due to COVID and the circumstances around that, Block 2B in South Africa. So we remain entirely focused on growing our business. And the crisis had put a pause on some of this, but we remain committed to achieving those short- and longer-term goals that we've set out. So with that, I would like to go to the next slide and encourage any questions you may have. Here is a reminder of how it works from your side. I hope that I'm able to navigate it from my slide. Let me just see here.
A - John Hamilton: I believe we have a question, give me a second here, from Jorgen. So I have a question from the friendly analyst. Do we have an updated time line on the Salloum 1 well? Is it fair based on Africa Energy's recent comments of Block 2B will close towards the end of the year? So you positioned for drilling in Q1? Jorgen, thank you for the question. Yes, Salloum, I think we've been guiding towards the end of this year. That's probably still okay. But I think realistically, it's going to slip into next year. There have been a number of smaller issues around COVID, around suppliers, around various ministerial consents and working with the municipality. We can't blame everything on COVID. But nonetheless, I think it has been - the priority for us has been to maintain production and try and grow production. Obviously, exploration activity is interesting and Salloum falls into that. But we have sort of less priority on that over the past few months, and so that's now catching up with us. So I think there is a little bit of a time lag on that. I wouldn't put a 2020 date on that. I would move that into 2021. In respect of Africa Energy and Block 2B, yes, I think it will probably close towards the end of the year. Again, the closing conditions are twofold. One is ministerial consent in South Africa. That process is ongoing. For us to go through the regulator and the ministry, it is in the process of going through the regulator as we speak. I believe I heard from somebody that the minister actually himself had COVID. So I think that's a realistic timetable that Africa Energy have given. And that should position us to drill in quarter 1 as long as those approvals come through in due course. I think we are seeing wells being drilled in South Africa now. But again, we need to get the rig and the suppliers in, and I think people are still being cautious. But I think Q1 is what Africa Energy has guided, and we have no reason to say anything different from them. Right. We have a question from Tom Eric at Pareto Securities. Can we add some additional color on the likelihood of success at the appraisal well of Hibiscus? Do the results from the reprocess seismic also have a positive read-through on the existing exploration potential on the block? Richard, do you want to add some color to the chance of success on Hibiscus South, Mupale and any comment you can make on the reprocess seismic?
Richard Morton: Yes, thanks, John. So you'll have seen we finished that project in the recent months. And initial work has been done by the operator. We, Panoro, ourselves are getting hands on the data now and doing our own work to verify and compare with the operators' interpretation. So it's a little bit early days. I think the thought here is to bring it to everyone's attention because it could be potentially interesting, of course. But we haven't really defined any risking on the wells yet. We haven't defined the location of possible wells. So slightly early to say anything definitive about drilling at Hibiscus and the likelihood of success. I can say that the reprocessing has been over the entire block. So we're evaluating the existing prospect portfolio you saw from John's earlier slide that there's a significant potential prospective resources available in the block, and we're going through each of those prospects in detail to see how they've been affected by the processing. So there's plenty more to come on that subject.
John Hamilton: Thanks, Richard. I’ve got a question from Teodor as well from SB1. Has the current Adolo capacity any limitation for Hibiscus development? How can capacity be increased? Yes. The Adolo has a nameplate capacity of about 40,000 barrels a day. I think the engineering work still needs to be done, but BWO believe that the nameplate - the capacity can be brought to about 60,000 barrels a day through some debottlenecking, so not big, big CapEx, some CapEx, but not much, to about 60,000 barrels a day. And it can be taken bigger than that as well, that would require more CapEx on it. But I think in the short term, at least, the assumption is that we should be able to get to 60,000 barrels a day through some limited debottlenecking. Let's see. I have a question from Stephane from Auctus. Stephane I think I've just unmuted you, I am trying to unmute you. For some reason, I can't - it's not unmuting you. So Hera do you think you can try and unmute Stephane there.
Operator: I don't think I'm actually able to unmute him. I don't know how he is connected.
John Hamilton: Okay, maybe he is connected by the phone. Okay. Stephane, if you can send your question and maybe we'll try and get it on the Q&A module. Should we expect 2021 production from Teodor close to 3,000 barrels a day on average. Yes. So I mean, I think what we'll have is an uptick, hopefully, in Tunisia and hopefully in Gabon. So that's probably not far off. We haven't not yet in the stage where we're going to be providing firm guidance on 2021 yet. I think we'll have that for our November update. But directionally, that's not far off. Stephane has sent in a note now from Auctus Securities. At Hibiscus, what did you miss previously? What triggered the big changes following the reprocessing of the seismic? Maybe Richard, do you want to just quickly touch on - I guess the first big change was the - were the 2 wells themselves at Hibiscus. I think that changed things. And I don't think we missed anything, but do you - Richard, do you want to touch on what changes the reprocessing has brought about?
Richard Morton: Yes, I will. So, yes, as John mentioned, we had a success with Hibiscus. That was an exploration well drilled to the Southwest of a well drilled a number of years ago. The difficulty in this area, the exploration here is not straightforward. It's quite complex in terms of the seismic imaging. That's why we had to do quite a detailed reprocessing project, with depth imaging and the latest techniques to help us. So that's thrown up the possibility of having these structures linked together and Hibiscus being a little larger than we'd previously mapped. But there's a great deal of uncertainty still on the area because of the complexity of the imaging. So we really need to think about the - this in the context of the chance success and test well program before we can say that we've seen a large change. So at the moment, it's quite early days. We do see potentially, it's worth pursuing. And kind of watch your space is the message.
John Hamilton: Yes, Stephane, as a reminder, the pre-drill in Hibiscus was about 11 million barrels, and that's because, as Richard said, the imaging result - imaging was difficult and the structure was - seemed to be quite flat and not a big dramatic structure. And obviously, the first well and the sidetrack actually showed that it was quite a bit bigger. So we are still learning. Obviously, we're quite bullish on the area and the successes that speak for themselves. So we are looking forward to drilling a couple more wells there. I think that, that is it for the questions. Let me just quickly check here. I have a question from Daniel from Arctic Securities. Good morning, Daniel. Can you give some comment when it comes to how Tullow is influenced Dussafu partnership and working environment? Do they bring useful complementary competence to the group? Or is there a risk that they slow down any workflow or decision making within the partnership? Daniel, it's a good question. Tullow are - for those of you who don't know, are very long-standing E&P company here in London. They've been responsible for some of the biggest discoveries made in Africa. A lot of the big success we're seeing in South Africa now with Africa Energy, a lot of the technical people came from Tullow. So the successes in Uganda, Kenya, Ghana, even in Gabon, they are excellent explorers. And for us to have them in the partnership has been very, very good. They work together very well with us. They do their own work on everything. So engineering, production, exploration, finance, they are multifaceted, very mature oil company. And much bigger in that respect than Panoro or BW. So they bring a huge amount of resource and expertise to the block. So I don't see any risk as they slow down anything. I think they're quite keen to get on with things themselves. Gabon is their second most important country after Ghana in their portfolio. So it's a country that they are committed to. And it's an asset that they like. So I don't personally see any danger signs with Tullow on the contrary, right. I think there's one more question. Does the exploration in Gabon drilling, you talked about starting in Q4 2020, first quarter of 2021 included Hibiscus appraisal or is Hibiscus on top of these wells? No, I think that the wells that we will drill, again, the partnership has not decided on this yet. But when we bring the rig back, I think we will want to drill one or two will be in the Hibiscus, at greater Hibiscus area, so Hibiscus South or Mupale. So it's not in addition to those. It is probably going to be concentrating on that area, trying to delineate that area better because that will very much inform further decisions on the Ruche development if we find more oil in Hibiscus South and Mupale. It's going to influence the way we think about that phase of development.
John Hamilton: So I think that's it, as far as I can tell from the questions. So I'd like to thank everybody for joining, and we look forward to continuing to update you and the market as we go. Thank you very much.